Operator: Good afternoon and welcome to the Wynn Resorts First Quarter 2013 Earnings Call. Joining the call on behalf of the company today are Steve Wynn; Marc Schorr; John Strzemp; Matt Maddox; Kim Sinatra; Gamal Aziz; Maurice Wooden; Scott Peterson; and on the phone Ian Coughlan, President of Wynn Macau; and Robert Gansmo, CFO of Wynn Macau. My name is Amy and I will be your conference operator today. [Operator Instructions] Now I would like to turn the call over to Mr. Maddox. Please go ahead, sir.
Matthew O. Maddox: Thank you. And thank you, everyone, for joining us today. Before we get started, I just need to remind everyone that we will be making forward-looking statements under the Safe Harbor of Federal securities laws. And those statements may or may not come through. With that I'm going to turn it over to Steve for opening remarks.
Stephen A. Wynn: Well, we have these calls every 90 days and usually everybody who's on the call has seen the numbers. It was our best quarter ever in China at $330 million. And we did okay in Las Vegas at $120 million. Construction in Macau is at full speed on our Cotai project, which is our third hotel. The budget is still just under $4 billion and 6 million feet. We're very pleased with all of the things that has taken us 2 years to design. We're in a very competitive market in China, as well as Las Vegas. But in Macau, we're in a situation where the licensees, the holders of those concessions, the 3 major concessions and the 3 subconcessions are all very smart people with very intelligent organizations who are learning from one another, making sure that competition doesn't get the jump on each one. And the quality of the competition is it's steadily ticking upward the past several years since we opened in '06. We had certain advantages that were related to our experience, the industry and our brand. We have fought diligently to maintain that advantage, and we will continue to do so. It came to bear especially in the conception and the design of Wynn Cotai, which took 2 years before we were in a position to break ground. We waited for our final approvals, but there wasn't a week or a day that didn't go by that we weren't bearing down, concentrating, bringing to bear all of our experience and expertise of our design teams to come up with a place that would be irresistible when it opens, hopefully, for Chinese New Year in '16. Our contracts with Leighton and our builders include those dates, and we believe we'll meet them. As you know, we are competing for a license in Philadelphia and one in Boston metropolitan area, Massachusetts. Those processes are underway and we are again bringing our best game to the table. How it plays out, we will not know probably until the fourth quarter of this year, and maybe a little beyond in Massachusetts. But we are making progress. We have completed preliminary designs of such of those new properties. And we believe that the urban Wynn, the big cities, give us the opportunity to introduce to those metropolitan areas new and very glamorous hotels that would otherwise not be profitable in view of today's average hotel rates, the Internet and the cost of construction. However, with the addition of a gaming room that is separate, but adjacent to such beautiful hotels, food and beverage, entertainment, shopping facilities, we -- and convention facilities, the existence of a casino room makes a new hotel in a city like Philadelphia and Boston and hopefully someday in Toronto or New York or wherever, a chance for a new hotel that would otherwise not be economically feasible. We call this notion the urban Wynn. And in a complicated world full of change, things like Internet gambling, which almost defy analysis month-to-month, the rules, the regulations, the laws, the absence of laws. All of this makes digital gaming a little bit murky to us. But the idea of having the best hotel in Philadelphia, the best hotel in Boston, that's not murky to me or my colleagues. That's something we understand. The best hotel in major cities has a great future. Tomorrow is better than today. And the day after tomorrow is better than tomorrow. You build those kinds of institutions, those brands by delivering on the promise. Our company has been well known for that for many, many years. And that again is what we're bringing to bear in our applications in Philadelphia and Massachusetts. I think without tooting our own horn, that's really basically the way we're looking at things these days. And we'll be glad to take questions. I want to remind you that the senior management of China and Las Vegas is here in order to give color and depth to any of your questions. So go ahead and start.
Operator: [Operator Instructions] Your first question comes from the line of Carlo Santarelli with Deutsche Bank.
Carlo Santarelli - Deutsche Bank AG, Research Division: Steve, if I could just follow up as you talked a little bit about urban Wynn and obviously the Massachusetts project. Could you talk a little bit about how you guys are thinking about allocation of capital in the event that maybe these urban projects don't come to fruition?
Stephen A. Wynn: Well, we build our places with modest lending. We try and keep an equity-to-debt ratio in our properties that allows us to maintain our investment-grade rating on our subsidiary nonrecourse debt. I think we're the only company that does enjoy that at the moment, at least the last time I checked. And that allows us for -- that use of our capital as we approach each project, allows us to protect our service levels and our employee base in spite of economic vicissitudes. If there is no Philadelphia and Boston, then we're going to be in the fortunate position of having excess capital. And what we would do with it is something that the Board of Directors would take up at the time. But right now, our dividend policy, which is $1 a quarter and is basically scheduled to be the kind of a dividend policy that could continue while we build the new projects in Cotai. And we did borrow money last summer. Matt was particularly successful in borrowing the money that we need for Cotai at LIBOR plus 1.75%. Most of that money was in a revolver. 1/3 of it or a little less than -- 1/4 of it was in a term loan, which we locked up at under 2.5% for the period. So we're very happy with our interest rates and our maturities. And so we go forward trying to take advantage of opportunities that present themselves. And your question is very interesting. I don't know how to quite answer it, except to say we'll take one step at a time.
Carlo Santarelli - Deutsche Bank AG, Research Division: That's great, that's very helpful. And, Ian, if you're on the line if I could. Obviously the property enjoyed a solid quarter. And you guys actually surprised to the upside on the margins. And granted some of that's from Holden in both the mass and the VIP, but also the commission number seems to be down a little bit. Is that best interpreted as having a little bit more fortune with your direct players relative to your junket players? Or is there anything else that's maybe changed on that side or on the margin or the expense structure as a whole?
Ian Michael Coughlan: You're correct. That's pretty much what it is.
Operator: Your next question comes from the line of Shaun Kelley with Bank of America.
Shaun C. Kelley - BofA Merrill Lynch, Research Division: Probably another one for Ian over in Macau, but just wanted to ask a little bit about what you guys are seeing in the premium mass segment? We noticed from the release that obviously drop was actually down a little, but your hold ratio was up materially as far as what we can calculate, so you guys gave a little bit of explanation, but could you talk to us just about what behavior you saw over the course of the quarter that drove such a high hold ratio. And if you think that this is kind of the new pattern or relationship going forward?
Stephen A. Wynn: Hold on, Ian, just one second before you chime in. There's something in Matt's release that I would like to draw everybody's attention to, because it's significant and critical that you take note of it. What's happened in Macau is something that we've never seen in Las Vegas, but is a growing pattern and it should affect all of the analyses that most of you are doing. But what's happened is, the customers are buying the chips at the cage, which does not enter into the drop. So the hold percentage in the mass market and our Diamond Club, our premium mass market, is an irrelevant number. You should disregard that number now and pay only attention to the amount of the win because this absence of the chips purchased at the cage in the handle has skewed the numbers and make it look like we're holding an abnormal amount of money. There was one part of our casino in Encore, which looked like it held 100% or more. So our advice now to observers of the industry and our investors, disregard the hold percentage in Macau in the mass market. It is now an irrelevant number because of the particular nature of the behavior of the customers. And, Ian, you could pick it up from there.
Ian Michael Coughlan: Just the high limits mass table games and high limit slot market have had a lot of attention over the last 6, 9 months as our competitors cut off with what we did with Encore. And nobody has quite matched Encore at this point, and we continue to upgrade our high limit areas. We just opened a new high limit slots area, phase 1, with 96 slot machines and we're opening up our phase 2 with another 50 machines this weekend in time for the May holiday. In general terms, everybody has shown their cards and the customers are now left to decide about where they prefer. So there's been a lot of ramp up in activity with generous giveaways and people can't continue to sustain that. We've chosen to just take good care of our players without giving anything too much away. And I believe that the playing field will level over the next 12 months. And our mass business overall is very healthy. Our high limits business remains strong. So we're pretty confident going forward.
Shaun C. Kelley - BofA Merrill Lynch, Research Division: That's great. And then just one follow-up on the VIP side there. Obviously volumes were down a little bit, but that could have been driven by how well you held. Could you just talk us through what you guys saw in terms of VIP activity throughout the quarter? We've heard a little bit about lending maybe coming back from some of the junkets, so what are some of your junket partners saying?
Ian Michael Coughlan: There's a lot more confidence over the last 4 or 5 months than there was in the summer of last year. And business grows organically and nicely. Our direct program is growing nicely and our junket partners are doing well. We opened a new junket space on property for Chinese New Year next year. That's the next big junket event for us, but i think people are generally pleased with the market.
Operator: Your next question comes from the line of Joe Greff with JPMorgan.
Joseph Greff - JP Morgan Chase & Co, Research Division: Steve, thank you for your commentary on maybe the decreasing relevancy of mass drop, but the mass revenue, the mass win was a great result. Can you talk about what marketing changes you may be making on the mass to premium mass side and whether there was anything to note within the quarter on the mass side, whether average bet size or number of players in that segment you can share with us that maybe talks to the degree of volume versus the wager per player?
Stephen A. Wynn: There's myself in Las Vegas with my job title and then there's the kids that are running the hotel in Macau. I think probably you need to hear from both of us on that question, Joe, but for me. . .
Ian Michael Coughlan: I'm happy to take that.
Stephen A. Wynn: I take this approach. There's really nothing left to do in our industry except the basics better. The idea of a runaway building, a preemptive over-the-moon structure, I think when everybody has virtually all the capital they need to build any structure in Macau, that the building budgets aren't really very important anymore. Nobody has an advantage over anyone else. None of us, none of the 6 of us are short of money. The market justifies massive investment. So therefore you get back to saying, well who are our customers? What do they really care about? And how can we best serve those needs? How do we address ourselves to the fundamentals of our business? So that's why I -- my answer to that question is sort of a macro answer. And there's nothing left for us except to do the basics better. That's why Ian Coughlan is there, why he left Peninsula and came to work for us. Linda -- Linda, are you there? She's not? She's on the road? Mark Schorr is here. Come over where-- we're using a common speakerphone.
Marc D. Schorr: We've just identified -- we identified who our customer is. And our goal was to take care of the customers' needs, as you said just go back to the basics.
Stephen A. Wynn: So we really didn't do anything extraordinary at all. We just relied -- we go to our strength, which is the fact that based on many, many years of experience, having developed the best hotels over and over again and dominated every market we've ever been in. If you take any single property, whether it's downtown Las Vegas, Atlantic City, the strip in Las Vegas, we've never ever not had the best hotel in each market that we've been in for the past 30 years. Now the reason that's been true is because we really focus on the fundamentals. And I think that's all we're doing. And there's a lot of smart guys in Macau. And they're getting smarter by the year. I really have to complement the competition in Macau. I find that the offerings that are being made are keeping us all on our toes. I happen to love that, incidentally, because it stimulates us. If we go and see a poorly done job, it disappoints us even if it's our competitor. When we see a good job like we see so often with our competitors now, both MGM and the Sands, the Dolphin [ph] kids from Melco. I had a coffee the other day with Jamie Packer in Los Angeles. All these guys are on their game. The people at SJM, Stanley Ho's company, Angela and Ambrose So and Louis Ng, these are all triple smart people and they're on their game and so it's keeping us on our game. I wish I could tell you that we had pulled a rabbit out of a hat, but there's no rabbit and there's no hat.
Joseph Greff - JP Morgan Chase & Co, Research Division: Great, excellent. Matt, a few other questions here. I noticed on the P&L the provision for doubtful accounts was down year-over-year sizeably. Can you just comment on that? It looks like it was a collectible in Macau?
Matthew O. Maddox: Yes. Yes, yes, you're right. And you know what I'd say is the provision for doubtful accounts is, this is about the appropriate run rate. There's maybe a little more going forward. So it fluctuates as we get large collections in Macau that are fully reserved and we feel pretty good with this run rate.
Stephen A. Wynn: As you know, we've never ever exceeded our reserve in my history either at Mirage Resorts or Wynn. We're very conservative about credit.
Joseph Greff - JP Morgan Chase & Co, Research Division: Great. And then Matt if you can give us the cash balance at Macau at the end of the first quarter? And if you can -- if you adjust for normal hold in Las Vegas, what the hold adjusted EBITDA result would have been?
Matthew O. Maddox: Sure. So we have roughly $2 billion of cash invested, not in the cages, but in bank accounts and 75% of that is overseas. We did announce an $830 million dividend out of our subsidiary. Then once that's approved by the shareholders, that will be paid out and so you'd see $600 million of that coming back to the parent company over the next 2 months.
Stephen A. Wynn: The Annual Meeting is on May 15.
Matthew O. Maddox: That's right, and...
Stephen A. Wynn: In Macau.
Matthew O. Maddox: In Macau.
Stephen A. Wynn: May 7, here.
Matthew O. Maddox: So Joe, that's the answer on the cash.
Stephen A. Wynn: It's May 16, excuse me.
Matthew O. Maddox: May 16.
Stephen A. Wynn: Mark corrected me.
Matthew O. Maddox: Here is the 7th.
Stephen A. Wynn: The 7th, yes, they're a week apart.
Matthew O. Maddox: Yes. And Joe, what was the other question?
Joseph Greff - JP Morgan Chase & Co, Research Division: The other question was EBITDA in Las Vegas adjusted for normal table hold?
Matthew O. Maddox: It's in the neighborhood of $105 million to $108 million depending on how you normalize. And just so you know, Macau is closer to probably $315 million, because we're not adjusting mass.
Stephen A. Wynn: Which would have -- $315 million normalized would have been our best month, $330 million put us over the top since we've built the place.
Operator: Your next question comes from the line of Felicia Hendrix with Barclays Capital.
Felicia R. Hendrix - Barclays Capital, Research Division: I wanted to stick on this phenomenon of the mass players purchasing more chips at the cage that's suddenly infecting the mass drop number. I'm trying to figure out what happens in the quarter that might change prior behavior because you guys have had a superior premium mass product since you've opened and you've been servicing the higher rated mass customers for some time now, so it's not like you suddenly have a new customer.
Matthew O. Maddox: No. I mean, let me put it in prospective. If you look at the growth in mass market in our casino, the Encore mass market casino revenues grew by 40%. And that is almost all premium customers that are not buying in at the tables. And so the growth -- the 40% growth was in the Encore side and then our main floor grew less. And so that's really what you're seeing is a shift in the mix.
Stephen A. Wynn: Do you understand his answer? Maybe I can. . .
Felicia R. Hendrix - Barclays Capital, Research Division: No, I understand it.
Stephen A. Wynn: Okay. Good.
Felicia R. Hendrix - Barclays Capital, Research Division: Yes. And so -- and that's actually pretty impressive given -- Steve you talked about the competition and the market and we can all see what the table yields have done.
Stephen A. Wynn: We're lucky. I mean, someone asked me on the last call, "Are you concerned about the kind of places that are built in Macau -- in Cotai?" I said, "Concerned? I'm frightened to death." I mean, these are very tough guys even though they're friends and we have dinner together and all that. These people -- I mean, the game is being played at a very high-level in Macau at the moment. Very high level. Very smart people and paying close attention to their business. I have to say I'm thrilled that we're able to hold our own there. I have great gratitude and respect for Ian and Linda, Robert Gansmo, Franky. The group there is a fabulous management team. They'll do a good job in Cotai too.
Felicia R. Hendrix - Barclays Capital, Research Division: We can't wait to see that. Speaking of Cotai, you provided us with some nice updates in the release and in some of your prepared remarks. Just wondering, now that your foundation work is underway, if you could share with us any learnings you might have from that and any updates to the design?
Stephen A. Wynn: No, the design is finished, of course. We're way past being able to fool with that. We took a long time, the longest ever. We usually take about 15, 16 months to do design development before we can break ground. We took 24 this time. Mainly as a -- reflecting the respect we have for our competitors. That in Macau, right now, if you don't mind, we have this wonderful piece of real estate in downtown Macau on the Peninsula that is between -- we're across the street from 4 hotels: The Star World, SJM, both the Lisboa and the Grand Lisboa face us. On our right is the Star World and the Arc, and then behind us -- so we're surrounded on 3 sides is MGM and fabulous shopping. As a result, we're sort of in the cross traffic. And so to some extent, which I can't quantify, I don't know whether it's 10% of our business or 25% of our business, but we are definitely the beneficiary of people that can just walk across the street and change their luck. And since the junket operators are common to most every hotel there, they're like a service. They're like an ATM machine. They are available and they have rooms in each hotel. The players go and just change their luck. The Wynn and Encore of Macau benefit from its strategic central location. We have the 100% location on the Peninsula. Everybody surrounds us. In Cotai, as dramatic and as ambitious as these buildings are, there isn't a lot of what you'd call walk in. They're separated and the weather is warm. The people move around in jitneys and public transportation. And so we said to ourselves, well, we not may not be able to enjoy that geographic position that we have downtown. So let's design our Cotai Hotel so that it is a must-see attraction. We are also benefited in Cotai by the fact that the new light rail or monorail system, we are the first stop coming from the boat dock, the ferry terminal and the airport. We're adjacent to the airport. And the transportation link -- the light rail goes around 2 sides of our property. It makes a 90-degree turn, very much the way the monorail in Las Vegas goes around the desert and golf course, the Wynn golf course. So we wanted to make sure that people riding the light rail arriving in Cotai -- and business more and more goes to Cotai as the developments increase in their stature. We wanted to make sure that when people looked at our lake, our fountains, that they saw something that was irresistible for them to get off the light -- the light rail stop is right in the middle of the front of our property. And they get off the light rail and they go down the escalator off the monorail. They go down the escalator and they are right smack, without taking another step, on our gondolas. And we have these gondolas that Doppelmayr of Austria built, and the gondolas have music and color and air-conditioning. And they go through the fountains. They go around the lake and through the fountains and into the building. We created an e-ride to get into the place. It's a lot of fun. It was great to do because I'm trying to create walk-in business or let's put it this way, ride-in business. And so all of these new ideas are coming to play in the new hotel. The towers for the -- where the turnbuckles are for the gondolas, which are on the main drag there, are shaped like dragons. And as you ride by in the gondola car, smoke and red light make it look like the dragons are puffing. All kinds of fantasy and -- the kind of public entertainment that we're famous for. Everything about Cotai is about entertainment. And so that's how we're going to meet up with our friends who are competitors and try again to hold our own against tough guys. Is that helpful?
Felicia R. Hendrix - Barclays Capital, Research Division: That is super helpful. And just finally, in your prior comments you had said that you thought that online gaming was murky. So I was just wondering if you could elaborate a little bit more on your thoughts there. You had a partner once. That didn't work out for obvious reasons. Just going forward, what do you think?
Stephen A. Wynn: I'd like Matt to talk about that. When I say murky, that's a Steve Wynn comment. I've often thought this whole subject of online gaming was getting everybody all jazzed up a little bit ahead of themselves in my view. First of all, I don't think -- I think it's probably the most unsympathetic tax target on the planet Earth would be online gaming where every bet can be measured by the government, both State and Federal governments that have an insatiable appetite for new revenue these days. And another thing is that, it's very difficult to distinguish yourself online. We sell experience in our buildings and that's a long and difficult assignment, but we have experience. We know how to do that. I don't know how to make the experience on a computer screen 17 inches in diameter particularly unforgettable. We're going to learn how to do it because we're not going to be left behind in this matter. And we've turned this over to the capable hands of Mr. Maddox who will give you his view on the subject.
Matthew O. Maddox: I agree with Steve. It's murky. We're looking at all the opportunities around the world and talking to the various partners. But we're moving cautiously. And we're really more in monitoring mode right now.
Stephen A. Wynn: But we'll have our oar in the water as we should on behalf of our shareholders. And we'll take a ride on the railroad and go through the learning curve and bring common sense, and hopefully intelligent judgment to the task. But right now, if anybody on this call can tell me what's going to happen with Internet gaming in America, I'm dying to hear it. I have trouble predicting the outcome here.
Operator: Your next question comes from the line of Steven Kent with Goldman Sachs.
Steven E. Kent - Goldman Sachs Group Inc., Research Division: A couple of questions. First, maybe you could just give us a little bit more or tell us when you're going to start to show the images for Wynn Cotai. I mean, you just described it very effectively, Steve. But I can see images for the proposals in Boston and in Philly, but I don't see anything yet for Cotai.
Stephen A. Wynn: We have -- we are building a model and it's almost finished. Is it not, Mark?
Marc D. Schorr: I think you'll get it in 30 days. I think you'll be able to view it...
Stephen A. Wynn: In the next month or so, we're going to have the model and we'll be photographing it. We've got extensive interior studies, computer-generated. I mean, we built a building next door that's 32,000 square feet right next to our employee garage on Koval Lane here in Las Vegas and it's got glass walls. And in it, are each of the room types, the corridors and 5,000 square feet of the casino, full-scale. You can walk in it. Now I want to a video of that in the next month or so. And when we get through with that video, you'll think the hotel is already built. You'll be able to walk down the corridor and there's mirrors at the end of the corridor to make it extend lengthwise. You can walk in all of our room types, complete and finished. That's our practice. We spend a lot of money on modeling because we want to experience the hotel before our guests do, so that if we've made the mistake we can correct it before we cast it in permanent concrete. And we've been doing all this for months and months and months. And it's all been done. We haven't had a chance to share it with everybody because we had so many other things on our plate with Philadelphia and Boston that had very definite and pressing schedules as to the calendar. But we are finished with the model and we'll be showing Cotai to everybody that cares to see it. If you come out, we'll take you next door. If you want to come see it, any of you. As long as you're an investor as opposed to our competitors.
Steven E. Kent - Goldman Sachs Group Inc., Research Division: Separately, just on these -- either Philadelphia or Boston, basically an urban Wynn concept, how are you differentiating it from a regular regional casino so that you can get the superior returns you've been getting in some of the other markets without overspending and given the declining returns we're seeing in some of the other regional casino markets here in the U.S.?
Stephen A. Wynn: I love that question. How do we compare to the other regional casinos? Hear me. There is no comparison. Regional casinos are boxes of slots. Period. End of sentence. We are building very lovely integrated hotels. Now they don't have 3,000 rooms; they've got 300 or 500 or whatever. But they have beautiful restaurants. They have atriums. They have convention facilities, meeting rooms that are delicious and better than any hotel in any city that we're going into. They have spas that are wonderful. These hotels are great places to go for a weekend. And you don't ever have to get near a slot machine or a black jack table or a baccarat table in one of our places -- down the hall, the way a convention meeting room might be separate. So then in each of our cities, visitors who are not predisposed to gamble, families with children can go into our hotels and enjoy fanciful restaurants and shopping and our other experiences that are associated with hospitality. And remember this, in our industry there's been a simple truth: slot machines and blackjack tables in and of themselves have no power at all. You create a legalized casino in a city and they open up -- a box of slots opens up, and the first year there's a big puff of tax revenues and a big puff of earnings, and then they flatten out because basically they deal only to the neighborhood. Unless you bring people from outside the region into the region, you do not have a future growth pattern. We are building buildings that will grow and be the places where people from out of town come to stay. Little destination resort hotels in beautiful cities, like where I went to school in Philadelphia or where my family is from in Boston. My mom and dad were born there. So we have no comparison whatsoever to any local casino. They're all boxes of slots by my likes. Now that's all that they needed in those days. Harrah's did a very good job of building this network around the world. And I admire what they did. Their progressive bonus program has been a very successful one. But make no mistake, what we are building is not a box of slots. We're building hotels that just happen to have a gaming room out back with its own garage and its own access, but 2 separate concepts. The urban Wynn idea will undoubtedly be copied as we go forward because we usually get copied, but there isn't a model for what we're doing anywhere.
Marc D. Schorr: This goes back to the Golden Nugget and the Horseshoe from 30 years ago.
Stephen A. Wynn: Marc has made a good example. There was Fremont Street 30 years ago and then there was the Golden Nugget. Everybody said Fremont Street has a personality and a profile and a revenue profile. And we built the Golden Nugget and we -- it was just a little casino. We added the rooms. We rebuilt the place. We made a 2,000 room hotel out of it, brought in entertainment and shopping. And we made more money in the Golden Nugget on Fremont Street than the entire Fremont street complex total by a substantial margin. We had 58% of the profits downtown. So you change the game by what you offer to the public. And we know what the public wants. It's a question of giving it to them. That's it.
Operator: Your next question comes from the line of Tom Marsico with Marsico Capital.
Thomas Frank Marsico - Marsico Capital Management, LLC: Steve, I was wondering if you could give us any insight as to the economic conditions that you're seeing from your customers as you talk to them in Macau. Is there a differentiation that you're seeing now versus 6 months ago when the new administration was being put in versus what you're seeing today?
Stephen A. Wynn: That's a good question, Tom, and we're very interested in that -- the answer to that question. So we're probing and asking that question constantly. Because of our relationships with our customers directly and through our junket operators, we're talking to a wide-ranging, very diverse population of businessmen from People's Republic of China. Not just Guangdong province, not just Guangzhou and Shenzhen, Dongguan, but far away in Fujian and Chengdu and Chiang Dao and every place. And what we're getting universally is a statement of confidence and equanimity in the feelings that these men and women have about the leadership of the PRC. They think it's stable. They think it's sophisticated and very, very switched on to what China needs. There's an awful lot of confidence that we're hearing from our customer base about the leadership of the PRC. There's a lot of confidence about the leadership in Macau. It's different than here in the sense that there's a mixture of social consciousness and business hustle, business aggressiveness. It's fascinating. The government of the People's Republic of China and Macau have come to the conclusion that the only important way to improve their company and keep -- their country, and keep social peace and happiness is by the creation of jobs. And everything in the PRC is about the creation of jobs. And that takes a backseat to everything else. So they're very supportive of things that create jobs. And they manage to balance that with social consciousness in a way that makes life there predictable and easy. I've been, I don't know, criticized or people have commented on the fact that in these conference calls, I often talk about the difference between leadership in America and Washington and leadership in China. And I'm going to say it again because it's only the truth. That there is a clarity that job creation is the only path to a better life for the citizens in China. And that does not seem to have been cleared up in America. Job creation is still not the priority in this country based upon the policies that we're dealing with or the paralysis in Washington. And when they do act, they've acted in ways that are not constructive to job creation. We don't see any of that in Macau. What we see instead is a sprit contrary -- that's an exact opposite, that comes from Beijing and filters through to the SARs, the Special Administrative Regions of Hong Kong and Macau, both of which are enjoying unprecedented success under the leadership of the central government in Beijing. So that's what I'm seeing, Tom, and it's coupled with a lot of confidence about the new administration in Beijing.
Thomas Frank Marsico - Marsico Capital Management, LLC: Was there a time during this change in the administration in China of the leadership that you did see a pause as far as confidence was concerned because of the uncertainties that Xi might bring to the new leadership position?
Stephen A. Wynn: There was -- in the sense that there was a pause, not a negative pause, what there is, every 5 years a normal moment in which everybody is wondering what is going to be the line up on the standing committee or the central committee of the Communist Party. We say the Communist Party as if this was the Cold War days. Communist Party is a term that means an entirely different thing today in China. But until everybody knew who was going to be who on this standing committee, Xi -- they knew he was going to be the boss, but there's much more to it than just the one man in China. There's the other members. And power has been consolidated. You know that it's -- the amount of the committee members have been dropped down by 2. That may climb back up for the second 5 years as everybody starts to take care of everybody else. But this is clearly, clearly a settled issue. And where everybody was a little curious before those names and the identities of the standing committee members and what their responsibilities would be, that period is past. So I think the pause may be the right word. Everybody was curious about who is going to be who. There's a big pecking order over there.
Thomas Frank Marsico - Marsico Capital Management, LLC: As far as the U.S. is concerned, and the major companies that you do business with, with special conventions and trips that they're offering for their employees, are you starting to see more confidence among decision-makers, CEOs and such as far as implementing those programs again? And I go back to the days when Wells Fargo was told not to go to Las Vegas. Are those types of programs being reimplemented and you're starting to see a pickup in that area in hotels in Las Vegas?
Stephen A. Wynn: Maurice Wooden is here with me, the President of the hotel. And I think it may be good for him to answer that one.
Maurice Wooden: Actually we've -- let me just move over so I can get over. We've been very fortunate to enjoy this year where we've seen a great pickup in that segment. In fact as we start to look at the first quarter, we had a 6% -- actually a 7% increase in rooms and also a 7% increase in revenues. But looking out over the rest of the year we also see that, that's a pattern that we feel confident that is going to continue to repeat itself. And then if we're looking out to grow out into 2014, which we've always talked about as -- where we felt the best as far as we're we knew the room contribution was really going to bounce back in that segment, 2014 is way ahead of pace where we actually thought it would be.
Thomas Frank Marsico - Marsico Capital Management, LLC: So are you back to the pace that you were a '07?
Maurice Wooden: I wouldn't say it's exactly the same pace as '07. However, it's much more robust than it was, especially over the last several years.
Thomas Frank Marsico - Marsico Capital Management, LLC: And then if I could ask one last question. I was just wondering -- from other jurisdictions, if you're talking to any of the decision-makers in Singapore and other areas, if they're pleased or if they think that you could see maybe an additional opportunity in Singapore that's not being addressed by the current hotels that are operating there? Is there any leeway that you could see new contracts being let?
Stephen A. Wynn: I don't know, Tom. I'm not in a position to comment on that intelligently. That's a good question for Sheldon.
Thomas Frank Marsico - Marsico Capital Management, LLC: And the same is true in Japan?
Stephen A. Wynn: Japan moves around. The current Prime Minister is pro-gaming. The party that is most likely to favor this is in control. But you know things change in Japan rather quickly, but we're all watching that. And that will be a joust if it happens. I think there'll be a joust. There'll be a serious effort made if Toronto decides this spring if they want to have a privately operated casino. Everybody sort of thinks that market, heavily Chinese as it is, would be a good one. And it's a destination -- world-class destination city. There's nonstop flights from every major world capital to Toronto. You don't have to change planes. So I don't know about Singapore, but I know that there's a very, very spirited debate at the moment in Toronto. And Gamal -- Gamal Aziz is on the call. And Gamal -- this is his business. This expansion of our company, he is doing that with me. Gamal, what do you think about this, about Canada?
Gamal Aziz: Steve, I think that -- well, Toronto we will know -- city council votes on May 7 and we will know if they'll accept it in Toronto itself. If not, it may go to other neighboring jurisdictions like Markham, Mississauga or Vaughan, so we'll wait and see. But yes, it would be a great market for us. Japan, I think as you said, Steve, the new Prime Minister is pro-gaming. For the first time, cabinet members are speaking openly about gaming and the benefits of having integrated resorts. So we think that for the first time, there's hope that they will approve the promotional bill, which precedes the implementation bill. So we think there is movement in Japan and we will know by the end of the year. But this is probably the friendliest government for -- towards gaming.
Thomas Frank Marsico - Marsico Capital Management, LLC: And I'd just like to comment and thank Marc Schorr for his great commitment to the Wynn shareholders.
Stephen A. Wynn: Tom, Marc is going to continue in a partial role until the opening of Cotai because of his experience in building Treasure Island and Encore. So he's going to have a -- he's going to spend a little bit more time with his family because that's what he wants to do. But he's also going to continue making regular trips to China in his role in getting that place built and open. So retirement was probably a little bit of an exaggerated term.
Thomas Frank Marsico - Marsico Capital Management, LLC: Well, Marc, I still want to thank you very much for all you've done.
Marc D. Schorr: Thank you.
Operator: Your next question comes from the line of Robin Farley with UBS. [Technical Difficulty]
Operator: Your next question comes from the line of Thomas Allen with Morgan Stanley.
Thomas Allen - Morgan Stanley, Research Division: So on Las Vegas we've heard from some of the regional operators that January and February were soft and than you saw, speaking from pickup in business in March. Did you experience something similar in Vegas in -- both on your personal level and then on the market in general would be helpful?
Matthew O. Maddox: No, I mean, we didn't see anything different in March than we saw in January and February. We were pretty consistent month to month as far as our business.
Stephen A. Wynn: Yes, but I want to point out, we had a good time. But in our tape, we have the largest amount of gaming win in the state of Nevada for one single property. We've been the -- we've held that record since I opened Bellagio and then we exceeded Bellagio in '07 with $724 million in Wynn. And then we exceeded it last year and this year at $770 million in this hotel. So having said that we have the largest component of gaming revenue of any Nevada casino, I must point out that of the $600 million in table win, 70% of it is in roulette and baccarat, which are business that is primarily Latin American, European and Asian. Without the international market, we would be in an entirely different position. But we are among, in addition to a few other properties on the strip, the hotel of choice for well-to-do international travelers. This hotel has an enormous component every single night of the week of people with foreign passports. It'd be the equivalent of 200 or 300 or 400-room hotel in another city being 100% occupied every night of the year by people who were from another country, and these are all gamblers. So we don't really run with the pack, so to speak in Las Vegas. We've got this international brand that works for us. So when you ask that question and you relate it to regional casinos, we're so completely different that I think it's not a comparable situation. And we intend to do exactly that in Philadelphia and Boston, exactly that. And Toronto, if we get the chance. Show us a major city and we'll build them a beautiful destination hotel that could be called a resort by any definition. And therefore we get into a different category. We get people from outside the region to come into the region. We get people over there to come here. That's the secret of gaming. That's the only reason to have gaming, to get people to come from over there to here. Wherever here is compared to over there. I tried to make that point in my presentation in Philadelphia recently. And when you decide to bring people from over there to over here, you do that by having something here that's better than there, which means more money for construction, more jobs, and in the end more tax revenue. Yes?
Thomas Allen - Morgan Stanley, Research Division: That actually brings me to an interesting second question. Are you able to estimate what percentage of your Las Vegas revenue comes from Chinese customers? I mean, just thinking, if there is some kind of issue that could stop them from traveling, how would that impact your Vegas property also?
Stephen A. Wynn: If anything interfered with Chinese travel to the United States, would it impact our property? Roughly the equivalent of the building falling down. Yes. Nothing serious, just a catastrophe that's all. A catastrophe. And if you want to have anxiety about potential scenarios that could cause problems, you had just picked one right there, Tom. I don't think that -- we're not having an anxiety attack on that point, nor have we worried about it for the past 30 or 40 years. No, the Chinese are on the move. The Japanese are on the move. The Taiwanese are on the move. The Latin America, Brazil, Chile, Colombia, those are our -- we have big business this first quarter from Chile, Colombia, Brazil, Mexico, Taiwan, Japan, Singapore, Malaysia, Indonesia and the People's Republic of China. That's our business. That's who we are.
Operator: This concludes the call.
Stephen A. Wynn: Thank you, everybody.